Operator: Good day, ladies and gentlemen, and welcome to the Advanced Energy Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. And I would now like to turn the conference over to your host for today, Ms. Annie Leschin, Investor Relations. Please proceed.
Annie Leschin: Thank you, operator, and good morning, everyone. Thank you for joining us today for our First Quarter 2013 Earnings Conference Call. With me on today's call are: Garry Rogerson, Chief Executive Officer; Danny Herron, Executive Vice President and CFO; Yuval Wasserman, President of the Thin Films Business; and Gordon Tredger, President of the Solar Energy Business. By now, you should have received a copy of the earnings release that was issued yesterday evening. For a copy of the release, please visit our website at advanced-energy.com or call us directly at (970) 407-4670. I'd like to remind everyone that except for the historical financial information contained herein, the matters discussed on this call contain certain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the terms believes, expects, plans, objectives, estimates, anticipates, intends, targets, goals or the like should be viewed as forward-looking and uncertain. Such risks and uncertainties include, but are not limited to, the volatility and cyclicality of the industries we serve, the timing of orders received from our customers and unanticipated changes in our estimates, reserves or allowances, as well as other factors listed in our press release. These and other risks are described in Forms 10-Q, 10-K and other forms filed with the SEC. In addition, we assume no obligation to update the information that we provide you during this call, including our guidance provided today and in our press release. Guidance will not be updated after today's call until our next scheduled quarterly financial release. I'd now like to turn the call over to Garry Rogerson, CEO of Advanced Energy. Garry?
Garry W. Rogerson: Good morning, and thank you for joining us. Overall results this quarter were in line with our expectations. Thin Films picked up while Solar Energy experienced a seasonal decline and also experienced some pushouts of commercial orders. Total revenues were $112 million with GAAP EPS of $0.17 and non-GAAP EPS of $0.29. As Danny will highlight in a moment, beginning this quarter, we are adjusting our non-GAAP EPS to exclude certain items to more accurately reflect the cash earnings power of our model and be consistent with our peers. This does not affect our aspirational goals but does help us show you the path towards them. Our strategy to create an exceptionally efficient business model that we expect to capitalize on the peaks and profitably manage through the troughs in our industry cycles is coming together. Since November 2011, we have reduced our cost by more than $30 million with a line of sight and expectation for another $25 million. We have established a streamlined model for our manufacturing and are maximizing our supply chain and outsourcing opportunities. We have lowered our company breakeven and generated $111 million of cash. We have profitably endured a trough in our Thin Films business while continuing to grow our solar business. In short, we are successfully executing on our strategic plan and aspiring to meet our goals. We believe that all of the steps we have taken are creating a strong foundation from which we can now focus on accelerating profitable revenue growth. To do this, we are developing more efficient R&D in select worldwide locations close to our customers, establishing more efficient localized distribution and acquiring new technologies and product lines, such as Solvix and our recent acquisition of REFUsol, to add to our core competences. REFUsol meets our acquisition criteria. From its highly rated 3-phase string product line targeting commercial applications, where AE has not historically participated, to its global presence and distribution to its fabless manufacturing model, we could not have found a better fit. Once the integration is complete, we believe our inverter portfolio will be among the best-tailored to meet the needs of commercial applications, large and small, as well as utility deployments, leading to a much expanded TAM and worldwide presence. We are seeing other benefits from this acquisition as well. By purchasing the product lines and distribution of REFUsol, we are not only planning to increase our solar revenues by about 40%, but our larger scale should allow us to rid ourselves of inefficiencies in our Solar Energy business and potentially accelerate certain growth activities. We are planning a major restructuring, not only to integrate REFUsol but to accelerate other cost reductions originally expected later in the year for both Solar Energy and, to a minor extent, Thin Films. These include the consolidation of REFUsol and AE facilities in Germany and the U.S., the combination of our 2 product lines and the resulting product rationalization, further streamlining of our manufacturing and more. In total, these actions should result in a profitably $18 million to $20 million of expected annual savings, $14 million of which will be in cash. We expect this restructuring and the integration of REFUsol to take approximately 9 months to complete. We expect the acquisition will be accretive in 12 months. As I've reminded you in the past, experiences have demonstrated that such a large undertaking can be challenging. Obviously, we'll do everything in our power to make the transition as quick as possible, but we expect the initial period to be dilutive. At the end of this transition, we believe we will have a business with which we can achieve our aspirational goals. So as we have said before, we are focused on our strategy to improve margins, grow profitable revenues and better utilize our cash. We believe we are creating the most cost-effective way to develop, sell and manufacture our products. That is a never-ending process. With today's announcement of an additional $30 million to $35 million in cost reductions and other integration activities, we have a large task ahead of us. Once complete, we expect to establish a level of operational excellence that is unique in our industry. With strong projected revenue growth in our Solar Energy business, especially later in the year as we introduce our 1-megawatt inverter, and optimistic signs of Thin Films business is picking up throughout the year and into 2014, we are optimistic that we can reach our goals. We are entering new applications in geographies for both of our businesses and looking for new distribution channels and potential acquisitions. As we do this, our potential to generate cash and profits for our shareholders grow significantly. Our concept of winning is earnings per share, and we believe that things are coming together to position us for a prosperous 2014. Thank you.
Yuval Wasserman: Thanks, Garry. Beginning with Slide 9. Revenues from our Thin Films business increased 16% sequentially in the first quarter to $61.8 million. For the first quarter in more than a year, all of our Thin Films businesses, save renewables, showed sequential improvement. Coupled with efficiency gains from our many cost reductions, operating income also grew to $7.5 million or 12% for the quarter, up from 9% last quarter. Design wins were once again strong this quarter. We captured more than 3 quarters of the opportunities we pursued, winning 80% in semiconductors and 75% in thin film industrials. Leveraging a new engagement model with key OEMs, we have increased our penetration in important semiconductor growth areas, such as etch and sputtering. As the semiconductor industry moves to triple and quadruple profiting techniques and 3D device geometry, more etch steps are required. This is opening up opportunities with various external suppliers, where we are capturing new designs slots. Additionally, as more our etch patterning steps are needed for advanced generation devices, we are winning designs that are positioning us for future revenue growth. These trends, along with our growing abatement business, are some of the reasons behind the increases we see in our semiconductor business. In thin film industrials, our wins stem from touch panels in Asia to Low-E glass in China and from etch applications for large area and small screen flat-panel displays, where we provide high-power RF generators, to film depositions for handheld device touchscreens, where we supply DC and RF power generators for sputtering and PECVD applications. Turning to our performance on Slide 10. Sales for semiconductor applications increased due largely to capacity buys at 28 nanometers and initial technology buys at sub 20 nanometers nodes, which requires increased etch content. Sales of abatement equipment also performed well, driven by strong orders for our remote plasma source, Litmas. The outlook for 2013 semiconductor CapEx remained mixed. Coming off at the cyclical lows that the industry has seen, key fundamentals that were still relatively low are showing signs of improvement. Front-end utilization rates and equipment refurbishment are beginning to return as fabs invest more aggressively in next-generation advanced technology. And logic and foundry CapEx appears to be strong through at least the first half of the year. The ongoing uncertainty around memory spending is a major driver behind the industry's 2013 projected CapEx of flat to down 8% year-over-year. In flat-panel display, the expected surge in next-generation AMOLED investment in GEN 5.5 line expansions continued, driven by demand for displays and touch screens for tablets and smartphones. Investment in these areas is expected to continue throughout the second quarter of 2013. Turning to our industrial business. Revenues grew to strong demand in automotive and consumer products manufacturing applications. Our acquisition of Solvix is expanding our higher-end applications and customer base into precision hard coating applications. As new customers qualify this product line, we are already starting to generate new business. Additionally, Solvix's strong engineering work in Switzerland is quickly becoming our DC and sputtering center of excellence in Europe. In our service business, break/fix revenue recovered a bit this quarter as fab utilization rate increased slightly. Some customers believe fab utilization will increase in the second half of 2013, driving both repair and refurbishment business. Meantime, we are seeing opportunities to grow our preventive maintenance revenue for gas abatement and flat-panel products. We also completed the transition to our new distribution model in Taiwan, where we have engaged Scientech as our sales channel and CSS as our service partner. In Japan, where we had implemented a similar model, we are already gaining traction with important customers with whom we have not had relationships in the past. These reengagement models and local alliances should enable us to more efficiently serve our customer base with a flexible, cost-effective solution while accelerating our expansion into geographies and industrial applications. We are encouraged by the improvements we are seeing across our Thin Films business. Our revenue growth and recent design wins exemplify AE's strong position across the industries we serve. While the Thin Films market are showing some signs of recovery, visibility in the second half remains a bit cloudy. Our recent design win success and our ongoing efforts to drive efficiencies and reduce our cost, along with our brand strength, should position us to grow across the industries that we serve. I would now like to turn the call over to Gordon to discuss our Solar Energy business.
Gordon B. Tredger: Thanks, Yuval. Turning to our Solar Energy results on Slide 12. Obviously, the big highlight in the last month was our acquisition of REFUsol and its 3-phase string inverter product line. But before I go into more detail on that, let me first review our results for the first quarter. We shipped 217 megawatts this quarter versus 228 megawatts last quarter, leading to revenue of $50 million or 45% of the company's total sales. The 15% sequential decline in revenues was a bit more than the anticipated coming into the quarter, though less than we had seen in recent years. Some commercial orders were pushed out during the quarter, due to weather, while others were affected by financing and permitting delays. First quarter operating income was roughly breakeven. As expected, margins were pressured again this quarter due to 1 utility contract that included some low-margin balance of system components. Turning to Slide 13. We remain encouraged by our prospects for the year, especially on the commercial side of the business, with a strong pipeline of opportunities unfolding as the year progresses. On the utility side, we see more opportunities emerging in the second half of the year as we ramp shipments of our new 1-megawatt inverter, the AE 1000NX, that is scheduled to begin shipping in the second quarter. This product offers the same benefits in lowering the levelized cost of energy, or LCOE, that our bipolar product lines has always delivered. There's significant economies of scale on large deployments. In addition, the 1000NX will offer a full suite of utility interactive controls and good support capabilities that will be relevant to transmission connected sites in places like Arizona. These features will also be very important for large commercial projects in the U.S. Overall, the 1000NX has been well received by our customers and should allow us to be price-competitive while achieving our margin targets. Now let me turn to the REFUsol acquisition and provide you a few updates on our progress with the integration on Slide 14. As you know, our primary purpose in acquiring REFUsol was the addition of its 3-phase string products to our portfolio. These products range from 8 kilowatt to 24 kilowatts and should allow us to increase our penetration of commercial applications, helping to offset the lumpier revenues associated with large utility projects. Our 3-phase string inverters offer commercial customers a compelling price-performance ratio, low installation costs and a lower LCOE than competitive inverters. The compact, lighter-weight nature of our product affords customers design flexibility, ease of installation and scalability. Less than a month after our announcement, we are already seeing strong interest in booking orders for these products in the U.S., clearly demonstrating the respect for this proven technology, backed by AE's established reputation. We believe that the potential for these 3-phase string applications in the U.S. commercial market is around $235 million for 2013 another reason for the acquisition is the extension of our geographic distribution. Obviously, we are well aware of the forecasted decline in the German market, where REFUsol products have enjoyed a strong position. We have taken what we believe to be an extremely conservative view of European revenues as a result and are reducing our costs accordingly. The enormous opportunity we see lies in REFUsol's presence in the rest of Europe and Asia, especially in emerging territories, such as India, the Mediterranean and Eastern Europe. For example, in India, where REFUsol is currently selling its 3-phase string products, we try to expand our product offering through a combination of our collaboration with SGEG and our newly acquired local R&D group. This should increase the size of our market opportunity in India and accelerate our penetration of this promising region. This model is similar to our Thin Films business, where we are establishing R&D close to our customers, outsourcing or localizing manufacturing as needed to satisfy customer requirements and building effective sales channels to create strong relationships with our customers. Overall, we are excited about the prospects for this product line, as it positions us well to meet our objectives for 2014, as outlined in our strategic plan. Progress toward meeting these objectives will occur in stages. The next step is the integration of the product line and the people, which we expect to complete over the next 2 quarters. During this crucial period, we will manage our business very carefully and be conservative in setting our expectations. Our focus is on making the right strategic decisions to assure that this acquisition will benefit our customers, reduce our operating cost and improve our gross margins so that we achieved profitable, sustainable growth. Some of early decisions that have been implemented include the consolidation of our German office in REFUsol's and REFUsol's U.S. locations into ours. Another important action is the consolidation of our remaining U.S. manufacturing operations into our facility in Fort Collins, where will focus only on final configuration, burning and testing of our inverters. Shenzhen will be the hub for assembly operations and execution of our outsourcing strategy. We are continuing to work towards achieving a fabless business model similar to REFUsol's approach by utilizing strategic relationships with contract manufacturers, outsourcing subassemblies and working down cost over time through efficient supply chain management. The established business model is the third compelling rationale for the REFUsol acquisition. The final area of potential cost reductions is the acceleration of our product line rationalization. To-date, we have seen our strength in larger scale commercial and utility installations based on 250-kilowatt and 500-kilowatt central inverter products. Now with the clear advantages of our 3-phase string products, we're able to offer alternatives to fit the needs of all commercial customers. While we will continue to offer the legacy PV Powered central inverter products to commercial customers in the near term, given the strong margin profile of our 3-phase string products, we plan to develop that offering further to better serve this important customer base longer term. In summary, the pipeline of large projects in the U.S. market remains active and we are enthusiastic about the prospects for the AE 1000NX in the utility segment. The addition of REFUsol's 3-phase string products and the added global distribution should enhance our opportunities for profitable growth. With the steps we have already taken to establish our low-cost model and the further cost reduction anticipated through the integration and associated transactions, we are now well positioned to achieve our aspirational strategic plan targets of 20% to 22% CAGR and 10% to 15% operating income in 2014 in this business, as revenues expand through the rest of the year. I would now like to turn the call over to Danny to discuss our financial performance. Danny?
Danny C. Herron: Thank you, Gordon. In today's call, I'll refer to both GAAP and non-GAAP results. As you saw in our press release, in order to give a more accurate picture of the cash earnings power of our financial model and be more consistent with our peers, we are adjusting our non-GAAP description. Beginning in the first quarter, non-GAAP measures will exclude the impact of restructuring charges, acquisition-related costs, stock-based compensation and the amortization of intangibles. A reconciliation of non-GAAP income from operations and per share earnings is provided in the press release table. Once again, I'd like to reiterate that the changes in our non-GAAP definition does not impact our $2 per share aspirational goal. Beginning with highlights of the first quarter on Slide 16. Total revenues were $111.8 million, a decrease of 1% sequentially and an increase of 6% compared with the same period last year. We ended the quarter with a strong balance sheet, including $182.3 million in cash and investments, up $10 million from last quarter. Turning to the revenue performance on Slide 17. Revenues for the Thin Films business increased 16% sequentially to $61.8 million. The majority of the increase was driven by sales to semiconductor applications, which grew 11% to $32.7 million from $29.5 million last quarter. Sales to flat-panel display applications showed a marked improvement as well, more than doubling to $8.7 million from $3.2 million in the fourth quarter. Sales from data storage and industrial applications rose 18% to $7.4 million compared to $6.3 million last quarter, as we saw an increasing contribution from adjacent markets due in part to our recent acquisition of Solvix. And finally, service revenues had a healthy increase, up 7% to $12.5 million. Sales in our Solar Energy business were $50 million in the first quarter, a decrease of 16% sequentially. Though seasonality was not as pronounced as we've seen in the past few years, commercial sales were slower than anticipated in the first quarter, as Gordon commented. Turning to Slide 18. Our various cost-savings initiatives, coupled with our continuous focus on cost reduction, led the GAAP operating expenses of $34.1 million, a 12.7% decrease from $39.1 million in the same quarter a year ago. Although we had no restructuring charges this quarter, GAAP operating expenses included $2.2 million in amortization of intangible assets, $2 million of stock-based compensation and $1.1 million in cost related to the acquisition of REFUsol. Total GAAP operating margin was 6.9% compared with 4.9% in the fourth quarter and 0.1% in the first quarter of 2012. As a reminder, we allocate all of our expenses to each of our 2 businesses, causing our operating margins to be 3% to 4% lower than others in the industry. Operating margin in our Thin Films business on a GAAP basis improved to 12% from 9% in the fourth quarter and operating margin on our Solar Energy business was breakeven versus 6% last quarter. As Gordon explained, we anticipated some margin pressure on our Solar Energy business from one utility project that included some lower-margin items outside of our inverters. GAAP income from continuing operations were $6.8 million or $0.17 per diluted share. This compares to income from continuing operations of $4.9 million or $0.13 per diluted share in the fourth quarter and income from continuing operations of $766,000 or $0.02 per diluted share in the same period last year. Non-GAAP income from continuing operations, which excludes the after-tax impact of $2 million of intangible amortization, $1.8 million of stock-based compensation and $1 million of cost related to the acquisition of REFUsol was $11.7 million or $0.29 per diluted share. This compares to non-GAAP income from continuing operations of $8.9 million or $0.23 in the fourth quarter. And income from continuing operations was $6.5 million or $0.16 per diluted share in the first quarter of 2012. Taxes were $700,000 or 9% in the quarter, favorably impacted by the retroactive treatment of the R&D tax credit for 2012, which was credited entirely in the first quarter. Turning to our balance sheet on Slide 19. We ended the quarter with $182.3 million in cash and cash equivalents, an increase of $10 million from last quarter. Turning to Slide 20. Before I talk about guidance for the second quarter, I wanted to remind everyone that we are in the midst of a major transition as we integrate the acquisition of REFUsol and undertake a significant restructuring. We've already begun to move the remainder of our U.S. manufacturing to our Fort Collins, Colorado facility and to consolidate certain facilities, including REFUsol's office locations in South Carolina, in California and AE's German office. Over the next 9 months, we also plan to transfer the remaining supply chain activities for our Thin Films business to Shenzhen and to rationalize our inverter product line to most effectively meet the needs of our customers. For the next few quarters, there will be a lot of noise in numbers as we execute on these cost reductions and work diligently to integrate REFUsol into AE. Our job during the balance of the year is to blend our companies together as effectively as possible by turning over every stone in both organizations to find any possible duplication so that we enter 2014 with most of the charges behind us and an extremely Solar Energy business to help us achieve our strategic goals. In Slide 21, we expect these actions to result in total charges of approximately $30 million to $35 million with approximately $8 million to $12 million in cash charges, leading to total savings of $18 million to $20 million annually, approximately $14 million of which will be cash savings. So basically, we should be able to recoup our cash outlay in just 1 year's time. This will bring our total cost savings, including actions underway and already taken, to approximately $70 million to $75 million by 2014. Finally, turning to guidance for the second quarter on Slide 22. We expect revenues to be between $132 million and $145 million. We assume that our Thin Film semiconductor and industrial applications continue to improve. Based on a more normalized second quarter tax rate of approximately 27%, we anticipate earnings per share for the second quarter to be between $0.10 and $0.20 per share before restructuring charges. Our non-GAAP earnings per share is expected to be between $0.18 and $0.28 per share. Non-GAAP guidance excludes restructuring charges of approximately $23 million to $26 million, $20 million to $22 million -- $23 million of which will be noncash charges. Other non-GAAP charges include acquisition-related costs of $700,000, stock-based compensation of $1.7 million and amortization of intangibles of $1.6 million. This concludes our prepared remarks for today. Operator, I'd like to open the call for questions.
Operator: [Operator Instructions] And your first question is from the line of James Covello of Goldman Sachs.
Mark Delaney - Goldman Sachs Group Inc., Research Division: Hi this is Mark Delaney on behalf of Jim Covello. I was hoping you could elaborate a little bit more on the inverter product portfolio now that you have REFUsol. I know, Garry, you talked about wanting to augment the product line. And do you feel comfortable with REFUsol that you now have the products that you want going forward?
Garry W. Rogerson: Yes, I -- thanks for that question. Firstly, we've now got a really good foundation. The foundation we described of manufacturing in Shenzhen, our localized R&D and distributed sales is really in place. So that has allowed us to now move forward to get -- to accelerate the revenue growth. So if you remember, we were talking about a good foundation, generation of cash, which of course, we're doing, and accelerating revenues into the future. So that's the basis of where we are. On the REFU acquisition, I mean, it's just beautiful for us. And if you think about the products we bought and the distribution we bought, they really dovetail into where we are today. So we're strong in utility in the high-end commercial, they're in lower-end commercials moving up. So we fit well there. Geographically, they're strong in Europe, which is, of course, a weak area and we recognize that. But they've also got a foothold in some very nice growth areas, including Eastern Europe, Mediterranean countries and probably more important for us is India. India is so important for us. We talked about it a year ago and said that we really want to make inroads into that country. We do now have revenues in India. And we have manufacturing, or the potential for manufacturing in India. And we have the potential for R&D or we have R&D in India. So we're in a nice position to get a good foothold in the Indian marketplace. So to answer your question -- and Gordon can fill in the holes for me. But product-wise, it's a great acquisition. Geographically, it expands us. We're still not worldwide. We've still got to find a way into Japan. Fortunately, we are developing products for Japan now, so we will get a foothold there. And we've got to find a way to work with our partner in China to see if we can get some revenues out of that country. But all in all, it's a super acquisition for us. Gordon, anything you'd like to fill in now?
Gordon B. Tredger: No. We're very excited about the prospects for the 3-phase string products. It's a nice compliment to the central inverter portfolio that we have in the U.S. and we'll be able to leverage, as Garry said, the distribution into some of the other growing markets around the world, particularly Eastern Europe and India, as Garry suggested.
Garry W. Rogerson: We think that -- I think we've said it now, we think will be in a position in 2014 to have roughly $400 million of revenues. But what I like about those revenues, firstly, they're profitable. They will be profitable revenues. But secondly, they were growth products into growth countries and growth applications, so we're positioned well. We've discounted the European revenues as we move forward. So we positioned ourselves for a really nice acceleration of growth from 2014. We think in 2014, we can get to roughly $100 million a quarter. And from there, we think we can grow.
Mark Delaney - Goldman Sachs Group Inc., Research Division: That's helpful. For my follow-up question, it looks like your ASP per watt came down in the quarter. And I'm hoping you can elaborate if that's just changing your mix or if there's any increased competitive pressure.
Gordon B. Tredger: No. I mean, we've always said you have to be a little bit careful looking at our revenues in terms of cents per watt because things do shift around between the utility segment and the commercial business on a quarterly basis. We aren't seeing anything unusual in terms of price pressure. We all know that over time, prices are going to come down. And that's why we've been so focused on getting our assembly and outsourcing activities out to Shenzhen so that we can remain profitable, even in a competitive circumstance.
Garry W. Rogerson: Just a comment here again, and I'm not sure it gets across all the time. The model we have for manufacturing is so different to anyone else. I believe it's a very strong, competitive advantage. We are moving to Shenzhen, but we're outsourcing from Shenzhen. We are continually aiming for a fabless model. REFU doesn't have a manufacturing, so it fits in well with us. But our aim is not to manufacture, it's to keep pushing out from our Shenzhen facility. We've employed some really top-notch supply chain people, and it's working for us. So we've got to drive our costs down, we know that. We believe that we are in a great position to do that.
Operator: And your next question is from the line of Joe Maxa from Dougherty & Company.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: Danny, I just want to clarify on the $2 aspirational goal. Is that based on how it was originally defined or now on the pro forma numbers as you're pointing out?
Garry W. Rogerson: As originally defined, we haven't changed anything. We're still talking about a GAAP aspirational goal. The reason we went to the pro forma was so that you can get a better feel to how we're going to get to that GAAP number or the pro forma we've described. But the GAAP goal is our aspirational goal. And the reality is we are putting the things in place to get there. If you look about our cash goals, our revenue goals and our earnings goals, you can see we've started -- we've done very well on cash. We're positioned well on revenues. And now we've got to get our -- continue to get our cost structure in order to sort out the earnings per share. And I think we have a reasonable track record of getting cost out the system, which we will continue. Danny, I'm sorry to...
Danny C. Herron: Well, no, the only thing I would add is, Joe, to Garry's point, that the goal hasn't changed at all. It's still GAAP-based. And if you look, our current restructuring plan is expected to be complete by the end of this year, so you have a good apples-and-apples for 2014 that we've been focused on for the last 1.5 years.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: Right. I did want to ask, you have a big sequential pickup in Q2. And obviously, the new acquisition is part of that. Can you give us a rough breakout of where you expect your solar versus your Thin Films business to be for the quarter?
Garry W. Rogerson: What we've said is that Thin Films business is moving forward. It's getting a little bit stronger. And our solar business, we've added the REFU product line. And I think you can read in the literature, people have broken out numbers for REFU. It's very difficult for us to do that because there are often puts and takes. There are some areas where we -- our product will be substituted for the 3-phase string and vice versa. So we just need to be a little bit careful there. But again, I think by next year, 2014, with that $400 million or $100 million a quarter, is a good number to be thinking around. Going back, I think Gordon mentioned, we're seeing a pickup in commercial activity -- order activity at the present time. And also in the utility, there are some large projects coming along that we're competing for and we usually get our share of those. So we have some good reasons to be optimistic in our solar business.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: Okay. And then last for me, once we get through this Q2 restructuring, which is going to be the larger piece of the restructuring, where should we -- how should we think about your OpEx in the second half of the year? What would be a good number to look at?
Danny C. Herron: Joe, as we exit the year, OpEx will probably be down in the $35 million, $36 million per quarter range as we exit 2013. But as we said, the restructuring this quarter, while the number is large, remember the majority of that number is a noncash charge for intangible amortization. There's only about $3 million of cash charges. We will have some additional charges in Q3 and 4. But as I said earlier, we expect to be totally complete by the end of this year with the restructuring program and benefiting from $18 million to $20 million of additional cost savings that we've identified.
Operator: And your next question is from the line of Krish Sankar.
Krish Sankar - BofA Merrill Lynch, Research Division: I have a couple of them. Number one, you guys said that there was some pushout of commercial orders in for Q1 for Solar Energy. Is it coming back in the Q2? And how much was that in terms of -- can you quantify that?
Garry W. Rogerson: I think we said there was a pushout of revenue, Gordon will correct me if I'm wrong, in Q1. The order activity actually was quite strong. The pushout obviously was a seasonality type of pushout. But there were also some people who were having some difficulty getting their financials in the time that they said they were going to get them.
Gordon B. Tredger: Krish, first of all, the orders weren't lost, they were just pushed out late in the quarter. And it's just a result of some permitting and financing activity that we're seeing taking a little longer than maybe this time last year. It's not something we're concerned about. It's just some -- for the longer term, the commercial market is very strong or looking very strong. And we think that's going to continue into the rest of the year.
Garry W. Rogerson: And it's an ideal time to have our 3-phase string.
Krish Sankar - BofA Merrill Lynch, Research Division: So is that pushout from Q1 actually getting redirect into Q2?
Gordon B. Tredger: Yes.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. And then I know it's very tough to break out REFU in your model. But if you try to do that, is the core underlying inverter business still growing in Q2?
Gordon B. Tredger: Yes. I mean, again, as Garry said, going forward, we're looking at all of our product lines. But the underlying prospects in the commercial business are very strong. And as Garry commented, we've got some larger utility projects that are looking favorable at this point in time. So we think the prospects are very strong, particularly in the second half of the year for this business. And the REFUsol acquisition is going to add the 3-phase string products that should ensure that we've got a very strong platform going into next year.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. And then on the REFUsol side, I know you guys -- it's primarily low-end commercial. Do you guys run into any residential guys? Have you guys run into any of the micro inverter folks?
Gordon B. Tredger: We haven't run into -- so first of all, we are not competing in the residential market. We do solar products, particularly these new 3-phase string products, through distribution. But we are focused on the commercial side of the business with the 3-phase string products. And I want to make sure we don't underestimate the potential impact of this product line because I've seen prospects for the 3-phase string in the U.S. in 30- to 40-megawatt, as high as 30, 40 megawatts in terms of project sizes. So that would be a very substantial project.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. And then just a final question. You guys had a pretty nice bounce up in the flat-panel business in Q1. Do you expect the momentum to continue through the rest of the year?
Yuval Wasserman: Right now, what I can tell you is that is we expect the momentum to continue through the second quarter of this year, driven mainly by the expansion in Korea in the Annex 2 [ph] and Annex 3 [ph], and also a significant investment in touch panel industry across practically all of Asia, Japan, Taiwan, China, Korea, where we see benefit to us coming through both etches that go to polysilicon etch and power supplies for metallization for PVD that go to flat-panel -- to the touch screen and RF power supplies that go to passivation and intrareflective coating that goes to touch screens. So with the first half is very strong, driven by the expansion of GEN 5.5. The question is when the industry will go to the next level of investment? That will happen potentially the second half of this year and continue into 2014.
Operator: And your next question is from the line of Edwin Mok of Needham & Company.
Edwin Mok - Needham & Company, LLC, Research Division: So a follow-up question to Krish's question on Thin Film. How do you think about how the operating margin for that business as we move forward? It sounds like you expect revenue to continue to go up. Do you expect the operating margin get back to kind of the 20% range that you guys achieved previously?
Yuval Wasserman: Edwin, we continue to drive efficiencies in the business. And we, right now, benefit significantly by efficiency gains as we increase our volume for the factory. We will continue to drive efficiencies. And some of that was the change in the business model in Taiwan and Japan and some of that also in the way we operate the operation in Shenzhen. We expect to see some strength in the second half coming from glass investment in China and industrial segment of the business. And as this business continue to evolve, we will continue to see a fairly strong level of operating margins as we continue to work on efficiencies.
Garry W. Rogerson: Edwin, we should get much better margins now because the costs have come down. So when we hit the peaks, we would have better margins than we had before. And you're already seeing that. You're already seeing that with a breakeven, it's much lower in the Thin Films business and we're getting the profitability at lower levels of revenue. If you wanted to model this thing, the, say, $75 million, $80 million per quarter number, and you've modeled the $400 million revenues number, you can get the sort of answer that we are aiming to get. Our aspirational -- we will get our aspirational goal. We shouldn't say will, but we should get our aspirational goal if we can hit $80 million of revenue in our Thin Film business, $400 million of revenue in our solar business. That has been -- $100 million a quarter, sorry. That has been our aim from day 1. That's what the thing that we're clinging to for our aspirational goals. And at the moment, we seem to have the pieces of the jigsaw to get there. So now we just have to put those pieces together.
Edwin Mok - Needham & Company, LLC, Research Division: Great. That was actually very helpful. On the cost savings that you guys expect to realize, can you give us kind of roughly how much of that is expected to come out of OpEx versus how much of that is gross margin improvement that you expect?
Garry W. Rogerson: Well, firstly, remember that REFU, we actually outsource our manufacturing from our solar -- 3-phase string is outsourced anyway. But we -- so a significant amount of the cost is going to come out of the operations. And I -- a lot of headcount will drop and a lot of buildings will be consolidated. And that is happening as we speak. It happened not on day 1, but probably day 7 and is continuing to happen. We want to have all the pain over with this quarter. We hope to have some of the buildings exited this quarter. That isn't a guarantee, but we are hoping to get them done. We'll certainly get them done in the next 6 months. So the painful issues relating to people and restructuring the organization should be done this quarter and the buildings we should have exited by the end of this quarter or sometime in the next quarter. And then it's just going to be a small amounts of costs from then on. Now there is a cost associated, of course, with the closure of our Bend manufacturing and transferring over into Fort Collins. So now we only have one place to test -- assemble and test in the U.S.. And that will probably be 6 months as well.
Edwin Mok - Needham & Company, LLC, Research Division: I see. Okay. Actually, okay, that's great. That's helpful. And then third question I have is just on -- I guess, Danny, if you can help us a little bit on the model, right? If I get your guidance correctly, I think that your gross margin will go to kind of low 30s in the second quarter because you have incremental OpEx coming from REFUsol acquisition. And as you execute this restructuring plan, you expect your OpEx to kind of trend back down to the $36 million, $37 million range. Did I get that correctly?
Danny C. Herron: You did.
Operator: And your next question is from the line of Weston Twigg of Pacific Crest Securities.
Weston Twigg - Pacific Crest Securities, Inc., Research Division: Just a couple of quick questions. I was wondering if, first, maybe you could elaborate on this idea of a fabless model. And what I'm wondering is in a lot of cases, the fabless model can actually cost more to produce parts as you have to pay for the outsourcing. So can you elaborate a little bit more on how over the long run that saves money versus having your own factory?
Garry W. Rogerson: Yes. I've never seen outsourcing cost more than manufacturing our own product. So if you look at it from the usage of cash, I've not seen that. But the beauty of our outsourcing model is we can go anywhere for our parts and subassembly. So we are not limited. We are very, very flexible. If I had a big manufacturing place, let's say, a village in Germany that I was trying to support, that is a hell of a fixed cost in a market that has some kind of a cycle. So I wouldn't want that. I think it's a big, big advantage in the type of industries we're in. I have to be very careful and talk about the industries that we're in, which do have some kind of cycle, that the outsourcing model is, by far, the best model for us. Now it may be that others can do -- work in a different way. But I love this model. We generate cash, we have low inventory and we will have, at the end of the day, higher margins because we're way more flexible.
Danny C. Herron: Yes. Wes, I think if you cost a model based on some of the trade working capital that's tied up in it. So you take the semi cap industry, they turn their inventories 3 or 4x a year, and you now take that inventory in turn it into payable, it's a tremendous cash-generating model to have it outsourced. And then you don't have the troughs that you have, unutilized overhead and fixed cost. So it's really a lot more efficient model from a cash flow standpoint.
Garry W. Rogerson: I think if you think about it as well and think of the components of our box, there's really not much in there. I mean, it's PCBAs, cables, cabinets. I mean, there really isn't that much there. And there's no way we're going to manufacture a PCBA. There's no way we're going to manufacture cables. And there's no way we're going to manufacture cabinets. And there's always someone out there who can do a better job than us in this area because of their volume.
Gordon B. Tredger: So coming back to the term fabless models, first of all, the business we acquired with REFUsol is already a fabless business model. Their parent -- former parent company is a supplier to the automotive industry. They've got just a relentless focus on cost reduction. So we see that as an extremely positive element of the REFUsol acquisition. And then as we begin to apply that model to the solar side of the former AE business, we've got this wonderful spot in Shenzhen, where we have an existing presence through the Thin Films side of our business. We've augmented that with some very strong supply chain management resources, and we're seeing some excellent reductions in cost as we move things out of our U.S. factories, through Shenzhen, out to suppliers in Asia.
Danny C. Herron: And the margins from our acquisitions have not been dilutive. I mean, even with the outsourced model, the margins are strong.
Weston Twigg - Pacific Crest Securities, Inc., Research Division: Okay. Well, that's helpful. I guess, just a follow-on to that idea. If you're doing everything or trying to move to more of a fabless model, which you have been for some time, on the component side, it sounds like there's really not necessarily a lot of technology or complexity that goes into manufacturing. So does your competitive advantage really on the inverter side then just lie on business relationship...
Garry W. Rogerson: Well, we've got a lot of technology and a lot of science. And that's the beauty of us. Now if you go back to our model, we have localized R&D in different areas of the world, optimizing products for that marketplace. It doesn't really matter where we manufacture. If you think about our inverters, they're actually very, very efficient inverters. The REFUsol inverter or the new AE 3-phase string is the most efficient 3-phase string inverter out there. There's a lot of super technology in that, that no one else has. And it acts the same for our inverters as well. So we -- no, you can outsource and have wonderful products with wonderful technology. And if you go to the shops, you can see that all the time.
Weston Twigg - Pacific Crest Securities, Inc., Research Division: Good. Okay. And then just finally, can you just give us your thoughts on the Power-One acquisition and maybe how that changes the competitive landscape in your opinion?
Garry W. Rogerson: I think it's great. I think it's absolutely great. It's a validation of everything we've said. And I'm very happy. As long as we keep nimble, as long as we're nimble, we'll win. I enjoy a big company buying a small company because it's validated what we've done. And now it's going to accentuate the difference between us and nimbleness and efficiency of an ABB. It's going to be a very interesting competition. But the really nice thing is the validation of the inverter. That's the really nice thing to make, excited by it.
Operator: [Operator Instructions] And your next question comes from the line of Mehdi Hosseini from SIG.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: A couple of follow-ups. Garry, I think back 18 months or so ago when you first started with cost-cutting, the primary -- the goal number one was to streamline inverter manufacturing, moving in prior to manufacturing to Shenzhen. And we still haven't seen any meaningful leverage. Am I missing something? Or part of your strategy has had with acquisition that you recently did and we should see some leverage coming in the back half of this year? And I have a follow-up.
Garry W. Rogerson: I think if we hadn't done what we've done, we would not be in the position we are today. I note that there are inverter companies out there that are not making money. I recognize it's a struggle for companies, but we are, I think, ahead of our competitors. Remember also that we charge our corporate costs to the inverter. We don't have corporate costs. So we are in not bad position. It's not good. I'm not saying it's good. We've got lots to do. But I think we've got the model to get there. And I think now with REFU, it gives us a little bit more critical mass to continue that vicious cost reductions that we need. Now I also think it's needed in any business, not just the solar business. This is where I differ from a lot of you out there. I think it benefits our Thin Films business and any business. So I'm very pleased with what we're doing actually. If you tell me -- ask me, well, are we -- what am I worried about? My worry is we're not fast enough. But you hear that all the time. We've got to continue our relentless move to reduce our costs, but at the same time, have great technology, great efficient products for our customers. That's what we...
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Got it. And then the follow-up. I have two. So if I'm not mistaken, in your prepared remark, you said that you may also resize the Thin Film business. What prompted you to do that? And then the last question, given the acquisitions and all of these additional cost-cutting, are we still tracking the $2 GAAP earnings? Or are you actually thinking of maybe even an upside to that target?
Garry W. Rogerson: Well, just on your first question related to Thin Film, which I thought I'd answered before. Our reduction in costs is a never-ending process. I can't imagine in any company where it ends because we're always working on ways to get more efficient. We have taken this opportunity with the acquisition of REFU, where we have more offices, more locations to actually shrink ourselves down. And Yuval's organization is taking that opportunity as well. To give you some feel to this, we'll probably have less square footage after the REFU acquisition than before the acquisition. So that's how aggressive we are. So we're taking on these revenues, but we're going to have less square footage after the acquisition. So we will always take out cost. It will be a nonstop process. The reason we've broken it out this time again is because it's so large. And that will probably happen. If we do another reasonably sized acquisition like this, we will find ways to reduce cost again. And there's no doubts about it.
Danny C. Herron: And Mehdi, we are still on track for our $2 target. That is a GAAP target that hasn't changed. To the math that Garry suggested several minutes ago, if you model out our Thin Film business, so the $75 million, $80 million run rate, you take our solar business at $100 million run rate per quarter and hitting their 10% goal, you'll get us above our aspirational goal at this point. And as Garry mentioned, we continue to look for acquisitions as we go forward. Our focus is growing this company every day.
Garry W. Rogerson: And remember if you look at those numbers, what we talked about was cash generation, accelerated profitable revenue growth and earnings per share. Well, cash generation, we're not doing too bad on. Revenue growth, we're starting to get going. And now we've got to keep downsizing the organization's cost structure to get the earnings per share. So I think we're actually in good shape for our aspirational GAAP goal. It is aspirational. We do need a little bit of wind behind us in Thin Film. So we've got to get to that $80 million of revenues, $75 million, $80 million. But we put -- we've got all the pieces of the jigsaw now. If I was you, I would ask the question, "Well, what else can help us get there?" I think in the Thin Film business, we've got to continue to reduce our costs but expand our applications. So our future use of money will probably be on expanding applications within Thin Film. They may be smaller acquisitions relating to solar. But in the main, we'll now start wanting to expand our Thin Film business.
Operator: There are no further questions. So I would like to turn the call over to Garry Rogerson for closing remarks. Please go ahead.
Garry W. Rogerson: Thank you very much. I think we've said a lot today. An exciting time for us because all the pieces of LEGO are in place for us to try to get to our aspirational goals. We've got work to do, and I look forward to continue to report with you on these matters. Thank you, and goodbye.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good time. Thank you.